Operator: Good afternoon. Thank you for attending today's Momentive Global Inc. Quarter One 2022 Earnings Call. My name is Amber, and I will be your moderator for today's call. All lines will be muted until the presentation portion of the call comes to an end. There will be an opportunity for questions and answers at the end. [Operator Instructions]. I'll now have the pleasure of handling the conference over to our host, Gary Fuges, Vice President of Investor Relations with Momentive. Gary, please proceed.
Gary Fuges: Thank you. Good afternoon and welcome to Momentive Global's First Quarter 2022 Earnings Call. Joining me on the call today is; Zander Lurie, CEO; Priyanka Carr, COO, and Justin Coulombe, CFO. After Zander and Justin's prepared remarks we'll take your questions. Prior to this call we issued a press release and shareholder letter with our Q1 2022 financial results and related commentary. These items are posted on our Investor Relations website at investor.momentive.ai. During the course of this call management will make forward-looking statements which are subject to various risks and uncertainties including statements relating to our strategy, investments, revenue, operating margin and cash flow. Actual results may differ materially from the results predicted and reported results should not be considered an indication of future performance. A discussion of the risks and uncertainties related to our business is contained in our filings with the Securities and Exchange Commission in particular in the section entitled Risk Factors in our quarterly and annual reports and we refer you to these filings. Our discussion today will include non-GAAP financial measures unless otherwise stated. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of GAAP to non-GAAP results may be found in our earnings release and shareholder letter which are furnished with our 8-K filed today with the SEC and may also be found on our IR website. With that I'll turn the call over to Zander. Zander?
Zander Lurie: Thank you, Gary, and thank you all for joining us on our first quarterly earnings call since August 2021. The first quarter was all about execution and driving substantial progress on the strategic changes we outlined in our February shareholder letter. Our financial results exceeded the high end of our revenue and profitability guidance ranges. Revenue from our sales-assisted channel grew in excess of 30% year-over-year for the fourth consecutive quarter. We're actively addressing the transitory headwinds in our self-serve channel. Non-GAAP operating margin improved to 2% from a negative 1% in Q1 2021. And we repurchase 2.4 million Momentive shares through March 31. We're focused on creating value for our customers and shareholders. We have conviction that the plan we put in place will accelerate growth and significantly increase profitability. We have work to do. But our market opportunity is massive. Our products are getting stronger every quarter. And our hybrid go to market strategy is operating at scale, enabling us to meet customers where they want to buy and expand with them over time. Now a bit more on our Q1 highlights. Q1 was a record breaking quarter for our sales-assisted channel, reaching a $165 million revenue run rate. Sales-assisted revenue increased 32% year-over-year, the fourth consecutive quarter of 30 plus percent year-over-year revenue growth. Leading indicators here outpace revenue growth. We increase our customer count 55% year-over-year, adding 1800 plus new customers in the quarter, like Ace Hardware, Bosch, CARFAX, Merck, and the U.S. Citizenship and Immigration Services. Our high velocity sales team is helping drive substantial new logo growth. The deal cycles are fast, cost efficient, and set the foundation for future expansion conversations. In addition, we're winning larger customer relationships. More than 2,100 organizational customers are now spending more than $25,000 per year with Momentive, and 700 plus sales-assisted customers are using multiple products, both metrics increasing significantly year-over-year. Our core product, what we've traditionally referred to as surveys is resonating with customers of all sizes, across a variety of industries for various use cases. Customers value the flexibility ease-of-use, and power that our platform delivers. For instance, in 2018 Box purchased our core product for CX use cases. Over time, Box has expanded into multiple cases, including marketing enablement, internal comms, and HR, and they're expanding again into our insight solutions. Stories like this are not isolated. It's why average customer sizes for sales-assisted core product customers, excluding our newer high velocity sales motion have increased for eight straight quarters and grew 15 plus percent year-over-year in Q1. Similarly, our insight solutions what we've traditionally referred to as market research, are gaining significant traction. Customers love the speed-to-insight, automated analysis and response quality. All underpinned by a panel of 175 million global respondents. The VP of Marketing at a large SaaS company tells us that running research with us is seamless, and getting actionable insights was lightning fast. And a multinational agricultural company loved our automated analysis, which enabled them to launch a study on a Wednesday and complete the presentation by Friday. Our insights solutions generate our largest deals, largest customers, and most productive sales representatives. And in Q2 we'll begin testing packaging that moves our insight solution to a subscription model. In our self-serve channel, Q1 revenue growth of 7% was in line with our expectations. As reflected in our 2022 guidance, we're working for two factors to drive durable growth. First, over the past three years, we've focused on aligning price-to-value for self-serve customers, led by meaningful pricing and packaging experiments to our user base, amending entitlements of both free users and paid users. These actions have driven exceptional growth. And now we're moving into the next evolution of our strategy, focused on driving sustainable user growth. Doing so is beneficial for our overall business as we graduate users from single paid plans to teams plans to sales-assisted relationships. Second, we meaningfully shifted focus in 2021 to launch the new momentum brand, a key tenant of our multi-channel go-to-market strategy to more clearly communicate the value and attributes of our products to customers. We were successful. However, we focused less on supporting the SurveyMonkey brand during that period, which was magnified by distractions from the proposed Zendesk acquisition. The good news, renewal rates are in line with expectations and we're not seeing evidence of competitive churn. We believe the challenges are transitory and we're addressing them. Led by our new Chief Operating Officer, Priyanka Carr, the plan is threefold. First, generate high quality user traffic by extending our brand leadership specifically through new content and SEO strategies, focus brand initiatives, and SEM investments. Further, the days of VC-backed startups bidding on our brand terms without consequence are over. We are swinging back harder than ever. Second, drive sustainable growth in users by calibrating the features offered in certain package types, and delivering targeted high value functionality enhancements. Third, reduce customer friction by simplifying the buying and onboarding process, so customers can adopt our products and realize value quickly. It's an achievable set of improvements that we believe will benefit leading growth indicators in the self-serve channels starting in the second half of the year. We grew up as a product-led growth company. We are a market leader here, and we have the team in place to execute on the plan. Over the past two months, we have aggressively pursued the focus strategy changes outlined in our February letter to shareholders, many of which were contemplated in the second half of last year, but delayed given the proposed acquisition. The progress thus far is compelling. We're out of the gate strong on customer centric innovation. We reorganized our R&D organization, centralize our product strategy and prioritize our roadmap around a focused set of opportunities. Our core product is the foundation. It delivers value for customers of all sizes across myriad use cases, feeds our respondents panel and provides intelligence on what features and use cases our customers value most. We are focused on strengthening our foundational offering functionality, extending our admin capabilities and advancing our analytics maturity. Our core platform extends to purpose built solutions for markets products and brand insights, as well as customer experience. We’re planning to fuel the momentum we’ve seen in our insights solutions by deepening existing solutions in market, selectively expanding in to new use cases, and enhancing our statistical analysis capabilities. And,we’re working to bring get Feedback’s capabilities closer to our core product, leading to functionality and innovation velocity benefits overtime. Similarly, we’ve made significant progress in a short period of time in our go-to-market strategy and execution. We’ve begun executing on a plan to reinvigorate our self-serve channel. We’ve moved quickly to align our resources to the products and segments generating the highest returns in our sales-assisted channel. Resources are aligned and executing on simplifying our position in web surfaces under two brands: Momentive and SurveyMonkey. And, we’re seeing early success in our focus on existing customer expansion, one of our most efficient and profitable go-to-market motions.  In Q1, expansion business increased significantly both sequentially and year-over-year, hitting a new high as a percentage of total business generated. Kudos to our Chief Revenue Officer, John Shorenstein and Chief Customer Officer, Ken Ewell. Finally, the leadership and organizational changes we made are working. Our streamlined leadership, team and organizational structure is leading to faster higher quality execution, and as reinforcing our focus on customers at the center. Our global team is executing with focus and energy. Have we faced distraction since October? Without a doubt we have. But those who know our history, know our resilience has been tested before. And resilience is in our DNA. Our team is focused, committed and all in on our mission, we are energized to be back running a business at full steam. And if a more challenging macro environment rewards companies with balanced growth and expanding margins, we'd like our chances. I'll now turn the call over to Justin who will more deeply review our Q1 financial results and outlook.
Justin Coulombe: Thanks Zander. And I'd like to congratulate Pri on her new role as our Chief Operating Officer. She'll join Zander in meeting to answer questions during the Q&A portion of today's call. Now, on to our Q1 2022 financial results and outlook. Unless otherwise noted, all comparisons are year-over-year. Q1 total revenue was $117 million, an increase of 14% year-over-year and above our previously issued guidance range. Revenue for our sales-assisted channel increased 32% year-over-year, in line with our expectations and accounted for 35% of total revenue compared to 30% in the year ago period. We added more than 1,800 customers and now have approximately 13,700 customers with a sales-assisted relationship. New and expansion bookings were strong, especially across our core product and insight solutions. And the growth we drove continues to become more efficient with productivity per ramped sales account executive reaching the highest level since 2019, growing approximately 30% year-over-year. Further, gross and net dollar-based renewal rates remain strong with our core product, recording its highest levels across both metrics in five quarters. The investment is made to pursue expansion within our massive 345,000 plus organizational domain customer base is working and beginning to deliver early returns. Further organizational domain net retention rate remained over 100%. Revenue from our self-serve channel grew 7% in Q1, in line with expectations we shared in late February. And like many other SaaS companies, we experienced revenue headwinds related to foreign exchange rates in Q1. We estimate that FX was approximately a one point headwind to Q1 year-over-year growth. Deferred revenue increased 15% to approximately $216.2 million and remaining performance obligations or RPO, which is the sum of deferred revenue and backlog rose 20% to $245.4 million partially driven by continued traction winning larger multi year customer commitments. As we've shared in the past, we signed our largest customer to a multi year deal in Q2 of 2021. Once we lap this milestone in Q2 of this year, we anticipate RPO growth will track closer to deferred revenue growth over time. Starting to profitability. Non-GAAP gross margin was 83%, improving by approximately 50 basis points from the year ago period. Non-GAAP operating margin expanded to 2% compared to negative 1% in Q1 of 2021. On a percentage of revenue basis, all functional operating expense lines improved year-over-year, demonstrating the leverage of our business model. In Q1 we recognized approximately $6.5 million in one-time transaction related expenses, namely advisor fees, legal fees and employee retention bonuses. We anticipate the majority of expenses will be recognized by the end of Q2. In Q1, we also recognize $4.9 million of restructuring expenses related to the strategic changes referenced in our February shareholder letter. We anticipate the majority of these expenses will be recognized by the end of Q4. Net Cash used by operating activities was $5 million and free cash flow was negative $8 million. Both reflect the impact of paying annual performance bonuses in Q1 and a portion of the one time transaction expenses and restructuring expenses previously noted. As part of our previously announced $200 million share repurchase program. As of March 31, we repurchased approximately 36 million of Momentive stock representing 2.4 million shares at an average price of $15.09 per share. As part of the program, we also reduced our debt by approximately 26 million. We ended the quarter with $238 million in cash and equivalents on the balance sheet. Turned to our outlook. Today we're providing full year and Q2 guidance. For Q2, we expect revenue to be approximately $120 million to $122 million. We expect non-GAAP operating margin to be approximately 1% to 3%. As a reminder, non-GAAP operating margin tends to be lower in Q1 and Q2, based on our seasonal investment pattern in sales and marketing and R&D. For the full year 2022, we expect revenue of approximately $494 million to $500 million. We'll anticipate similar year-over-year revenue growth rates for Q2 and Q3, implying modest year-over-year revenue growth acceleration in Q4. As we've noted in the past, revenue from our insight solutions, previously referred to as market research is recognized on a consumption basis as projects are completed and can impact the linearity of quarter-to-quarter revenue growth trends. We'll continue to provide transparency into this dynamic through the remainder of 2022. We expect the sales-assisted channels year-over-year revenue growth rate will be in the 30s for 2022. Self-serve channel revenue will reflect the dynamics, Zander discussed previously with low single digit growth for the remainder of the year. We expect full year 2022 non-GAAP operating margin of approximately 6% to 7%, which assumes a consistent gross margin profile and operating leverage acceleration in the second half. We expect to exit 2022, with operating margin in the low double digits. We expect full year 2022 free cash flow of approximately $24 million to $29 million, which includes the impact of approximately $27 million in one time transaction related and restructuring expenses, a portion of which were accrued expenses in 2021, but will result in cash outflows in 2022. It goes without saying, we've made widely accepted assumptions on foreign exchange rates in our guidance. And should conditions necessitate that we amend those assumptions in a material way, we'll update our outlook accordingly. Q1 was all about focus and execution. We move with speed and operating rigor to make targeted strategic changes and align resources to the areas of our business with the highest growth potential and return profile. You can see the green shoots in our sales-assisted channel results. The remainder of 2022, we'll build on the same operating discipline and lay the foundation for durable and profitable growth coupled with expanding margins. As always, we remain focused on and committed to driving value for shareholders. We look forward to updating further at our upcoming Investor Day, including a refreshed long term operating model and our path to achieving Rule of 40. We plan on announcing the date in the near future. I'll now turn the call back to Zander.
Zander Lurie: Thank you, Justin. Before we take your questions, I'd like to provide a quick update on our work in environmental, social and governance issues or ESG. In the environmental and social areas, we just published our 2021 Social Impact Report, which showcases how we executed against our social impact strategy last year. The report is available on our website and I wanted to share some quick highlights. We are shaping a unique culture with diversity, equity and inclusion through diverse recruiting, hiring and employee training. We continue to move towards our 2024 goal to achieve gender parity in our workplace. We are shaping a more sustainable business with the completion of our first fall greenhouse gas emissions footprint analysis, which will serve as the benchmark for our future goals and strategy. Finally, we are helping shape resilient communities by promoting high value and equitable education and access to career development and opportunities for marginalized communities and minimizing our impact on the environment. Regarding governance, we submitted a proposal and the proxy statement for our annual meeting to phase out our classified Board of Directors. And stockholders approved, which our board recommends, all directors will stand for re-election annually beginning at our 2024 annual meeting. The Board believes declassification will provide stockholders with a more active role in shaping and implementing corporate governance policies. We remain committed to our ESG initiatives for the benefit of all stakeholders. I'd like to thank our customers, employees and our shareholders for their continued energy and support. We are moving with alacrity and discipline to position the business for more durable growth with expanding margins. And Q1 results show that we're sprinting out of the block in 2022. Thank you. Operator, we'll now take your questions.
Operator: Of course, thank you. [Operator Instructions] Our first question comes from Youssef Squali with Truist. Youssef, your line is now open.
Youssef Squali: Hi, great. Thank you very much. Hi, guys. Hope all is well. A couple of questions for me. Maybe starting with you Zander. On the self-serve side, can you maybe just flush out a little bit more your comments about the new features, product improvements that you're working on, planning on launching in the second half of the year that gives you confidence that business could get back to faster growth? And historically, I shouldn't say historically. But last year, for much of last year that business was growing double digits. Is that a reasonable level for us to expect maybe into 2023? And then, Justin on the sales-assisted business guide of 30% plus for the year. Maybe can you just help us how you get there? I think your deferred revenues were up 15% for the year. Your RPOs were up 20%. So just how do you maintain that the 30 plus percent growth over the next three quarters? Thank you.
Zander Lurie: Youssef, thanks for the question. You've followed us for a long time. So you've seen this business mature from one where our sales-assisted business was a single digit percentage, and today it's in the mid 30s. And so, over time as that 30 plus percent growth rate continues, you have that really durable tailwind, which drives up the overall company growth rates. I will put you back a year or two where we had some real challenges on product market fit and scaling our sales motion. And I couldn't be more proud of where we are today approaching that $200 million run rate and just excellent velocity on that sales motion. But our sales-assisted business, we have had challenges in terms of maintaining that growth rate on self-serve. And so let's look back at what happened last year. Two events last year that were once in 20-year events. First we did a major rebrand of the company from SurveyMonkey to Momentive to stand up a new website, which is now driving a double digit portion of our leads on the sales channel. And then, of course, the announcement on October 28, to sell the company to Zendesk. And so, to say that we had some major factors pulling away attention from some of our best and brightest would be an understatement. Today with the rebrand behind us and the deal, obviously well behind us, we are now laser focused on a couple areas that we think are really critical. And I'll ask Pri to talk a little bit later on about what we're doing to both drive awareness and traffic, better SEO and SEM packaging, which we believe is more responsive to the needs of our customers. And then, navigation and flows, which her team is working on, which is improving velocity in that self-serve channel.
Priyanka Carr: Thanks for that Zander. So just going back to basics on our self-serve. Definitely, there's a funnel, right. We start at the very top of the funnel, then we have conversion, and we retain those customers overall. And we've done a diagnosis over the last couple of months and really gotten to the weeds of what's working and what's not. Youssef, our conversion is strong, our retention is strong. That tells us that we don't have a competitive loss problem. Here we have strong product market fit. The area we've honed in on is our top of funnel, where we have seen some weakness which Zander alluded to, of the drivers of that we took -- we put a lot of effort into launching a new brand and that was successful. We're putting that same effort back into SurveyMonkey and the brand and reinvigorating the top of our funnel. And that those efforts are well underway already. So for example, in SEO, if you're watching our website, you have seen more content release out on that gives us SEO ranking. That will harden over the course of this year and pull our coverage on SEO up for SurveyMonkey. On SEM, we're taking a much stronger competitive stance, we have less competitors bid on our brand terms overall. And we're taking on a more competitive aggressive stance on conquesting backs. On brand, we are launching campaigns not just for Momentive, but also for SurveyMonkey and increasing our strong brand position to drive traffic. On conversion, we're optimizing our value side of the equation here. And you'll see our packages change to align more with taking more market share and being the leading product there. Product flows and optimizations. We're launching capabilities to make it easier for our customers to discover our features such as our product launch path. These were put into effect over the last few months. So, I would call them green shoots that you're seeing them today. But they're going to harden over time and be reflected in revenue.
Zander Lurie : Youssef, I'll take your second question there. So I think the really good thing that we've seen over the course of the past two quarters, the two go-to-market channels we have are working together, they are complementary, and now they're operating at scale. And so said differently. Our self-serve channel is a great way to attract customers in an efficient way. And they are moving from single user to teams to sales-assisted relationships. And then to multi product relationships, which we're already starting to see. Much of that is what gives me high conviction in sales remaining in the 30s. For this year, renewal rates are incredibly strong. Our expansion motion is working. And as we talked about our AEs, we've really focused them over the course of the past six quarters to drive on productivity. They're at the highest level of productivity that we've seen in years and 30% year-over-year growth. So, a lot of a lot of good indicators there. They give us give us confidence.
Youssef Squali: That's great color. Thank you all.
Operator: Thank you, Youssef. Our next question comes from Ryan MacDonald from Needham. Ryan, your line is now open.
Ryan MacDonald: Hi. Thanks for taking my questions. And congrats on a nice quarter here. Maybe double clicking on the previous commentary there Justin, around the sales-assisted channel. We've really seen sort of a strong momentum sort of fourth quarter and first quarter in terms of new customer ads. And you talk a lot about the high velocity channel there. As we start to look out to the back half of 2022 and into 2023, when do we start to see some of that high volatility channel driving conversion into the multi product sales? What sort of the timeframe there? And then, how should we start to think about that flowing then through to ARPU expansion, as last couple of quarters we've seen some declines, likely due to the sort of the accelerated nature of the customer. But we'll love more color on that? Thanks.
Zander Lurie: Hey, Ryan, let me kick it off with Zander. And then I'll throw it to Justin. First off, I would point you to the number of sales-assisted customer ads to show the productivity of that group. Remember, team Justin in finance has a pretty good ability to monitor quota attainment, AE productivity and helping our sales team kind of point them in an area where they're driving ROI. So they're not out there signing up customers that belong on the web. ARPU is one of those numbers where it's kind of the tyranny of averages, it doesn't really reflect how productive we are. I would point you to the number of 25,000 our customers now over 2100, huge year-over-year growth as our sales team is moving up market and pursuing larger deals. We're also seeing that product -- multi-product expansion. So we talked about 700 multi-product customers. That's a huge win. Those are wildly profitable customers where we drive that kind of net revenue retention. So if you listen to Justin and Pri, I think you'll see us doing a better job of delivering profitable products to customers wherever they are. And that might mean users who are coming to use the free product, but driving value in our panel, the paid seeds, the team's products, the SurveyMonkey enterprise customers, up to market research and multi-product customer. So this $200 million revenue run rate we're seeing approaching, we believe that 30 plus percent growth is sustainable, because it's a massive market, our products have never had better product market fit. And our sales and CS teams are really firing. So a lot of good signals through a very choppy kind of distracting environment for the company.
Justin Coulombe: Yes, Ryan. And I would add to two pieces of color -- three pieces of color there. Number one, I love our high velocity motion, because it is highly efficient. It is quick sales cycles. And it puts customers into our sales-assisted pipeline where when we can go and expand them. Whether they expanded one quarters, three quarters, six quarters, eight quarters, we look at the signals on how we define that. But here are a couple of stats that I will give you. When you look underneath what's actually happening in our sales-assisted channel, if you exclude those high velocity customers from our average revenue per customer, we are at our highest level of average revenue per customer that we've ever had from a company perspective. So, that is a very heavy acquisition motion for us that is getting low velocity in there. And then when you look at the core product will be previously referred to as surveys. Again, that is a product that has continued to march up and up and up when you exclude the high velocity team for eight quarters in a row now. So, we are seeing significant traction, it's all about generating a durable, highly profitable, funnel into our sales base motion.
Ryan MacDonald: That's very helpful. I appreciate the color there. And then, maybe just one more on, impressive first initial outlook for 2022 on the operating margins, and some nice leverage as you go into the back half of the year. You're given the focus on some of the product focus and adjustments you're making there to go-to-market motion. How should we think about sort of the key areas where you can get the incremental leverage in the model as we look into the backend? Thanks.
Zander Lurie: It's a good question, Ryan. So we will see improvement and as a percentage of revenue across all functional line items. When we think about it, this year is all about focus and conviction on the opportunities that are going to drive higher return. So whether that is the roadmap that Pri and her organization are pursuing. Or the areas of go-to- market where we're doubling down because we're seeing strong signal from the market and we're seeing highly productive not only marketing but sales-assisted motions. That's where lot of the leverage is going to come from. And then, what I would also say in addition to that, we are being very disciplined in putting a lot of operating rigor into where we place headcount, and what departments we place headcount to ensure that it's focused on the areas that will drive growth, and will drive durable growth going forward. So that's where we're focused.
Ryan MacDonald: Excellent. I appreciate the color. Thanks again.
Operator: Thank you, Ryan. Our next question comes from Brian Fitzgerald with Wells Fargo. Brian, your line is now open.
Brian Fitzgerald: Thank you. A couple things on self-serve channel, again, just wondering, looking at it from maybe a different context, when we go back to 2021, how much of that growth that you're now copying was from harvesting free users through some of the product changes you made? And when you think the opportunity for free to paid conversion? What are the levers do you have there going forward? And then, maybe a couple of questions about Europe. I think a couple of reads we had more near term. Takamine was talking to lower traffic trends in Europe on reopening. Just wondering if you're seeing any of that in the business regionally, in terms of reduced propensity to participate in audience some reduced urgency around CX DS?
Zander Lurie: Hey, Brian, thanks for the question. First, let me just address Europe. I've been getting anecdotes from other CEOs, et cetera. We are not seeing macro challenges in Europe, obviously, the business in Russia and Belarus very, very small percentage of our business and our sales team remain productive there. It's obviously not the biggest piece of business, but we have a highly competent team, they're selling good products. So we're not signaling weakness in Europe. I'll ask Pri to elaborate a bit on self-serve. But what I will say, and this is on me more than anybody from an accountability perspective. We put so much focus on getting the product market fit in the sales motion, and then shipping that momentous site, which we're really proud of in terms of the role it plays in the business today. And I think Pri has taken us back to first principles and the core value proposition of expanding our user base and delivering more value to our customers. And there are plenty of opportunities for us to do that, in the navigation, in the flows, you know, putting out more rich SEO content. Again, I think we took our eye off some of the ankle biters that are bidding against our brand terms. And so, we've got a handful of things we are going to do to expand that user base, and deliver more value to all of our cohorts, from the free users, to the paid users, to the teams. And of course, they drive that sales-assisted market motion that Justin alluded to. So, it's a little bit of getting back to the basis. But we've been in this business for 23 years. We created the category. We are the market leader. And these are problems we know how to solve.
Brian Fitzgerald: Thanks. Appreciated.
Priyanka Carr: Brian, can I just add a couple of points. You're right, we did drive a fair amount of conversion improvement of our free to paid user conversion. And our conversion now sits at a very, very healthy level, one of the best that I've seen overall. And that's why we have even more confidence of the strategy of getting back to more engaged users in the base getting value from our products that we can then apply those same conversion tactics to is our next phase of growth. And it gives us also tailwinds into our sales-assisted channel. So our next phase is heavily focused on the paid user growth as our engaged user growth to drive us forward.
Justin Coulombe: Yes, Brian. And the only thing that I would add on the Europe piece, I agree with everything as Zander said. The real place that we're seeing any impact on the business is just the foreign exchange headwinds. And that's part Europe. It's also part of inflation and interest rate environment. So that's given us a headwind, like pretty much every other company that's reported before us.
Brian Fitzgerald: Awesome. Thanks. Appreciate, guys.
Operator: Thank you, Brian. Our next question comes from Nick Mattiacci with Craig-Hallum. Nick, your line is now open.
Nick Mattiacci: Hi. This is Nick on for Chad Bennett. Thanks for taking our questions. First, can you give us an update on how big the CX and market research product lines are today in terms of revenue mix, and maybe directionally how those businesses are growing relative to overall enterprise growth? And then second, on the strategic committee, I guess other than executing on the plan is already in place, I'm curious if the strategic review is still ongoing and where the focus is over the next few quarters?
Zander Lurie: Sure, Nick. In terms of the multi-product lineup, we have, we don't have any incremental disclosure today about the size of those businesses, I can tell you directionally. Our market research business is on fire. Pri had led that team over the last couple of years as part of the reason she's sitting in the bigger co-chair today. Product Market Fit is awesome. We have a massive, the most liquid panel in the United States. We've built a bunch of great solutions on top of that. And really just the speed to value is enabling us to expand with customers like Box who are now buying all of our products. We had a great win with clickup, you might have seen their Superbowl commercial, they came to us to evaluate multiple different campaigns, which we were able to test against a broad cohort. So we love the product market fit. It's the biggest market we're going after. In CX, we think we've got great product market fit in parts of the market. We're not trying to move up and compete with the modalities of the world who have a more service intensive, more expensive, more time consuming products. So we really see value in selling to folks who have a big salesforce instance or who need digital product feedback. So CX, you'll see moving closer to the core product offering around Momentive, and really the expansion of the SurveyMonkey suite. And then on the strategic committee, I'll just point you to our website, you can see we have a very highly capable set of fiduciaries who sit on our Board of Directors. That committee was stood up to assess the inbounding query we had last year which led to the Zendesk deal. That deal obviously was terminated in February and that the committee remains available as the board does to assess any potential interest in the business. They are highly, highly focused on delivering shareholder value and the management team is accountable to the board to achieve just that.
Nick Mattiacci: Got it. Thank you.
Operator: Thank you, Nick. Our next question comes from -- our final question comes from Parker Lane with Stifel. Parker, your line is now open.
Unidentified Analyst: Hi, it's [Indiscernible] on for Parker. I want to start by just thinking about the success in the sales-assisted channel and the enterprise movement overall. What industries are you seeing success in? Is it particularly any specific industry? Or is it pretty much across the board?
Zander Lurie: If you look at our core product offering, it's so big that we are not only serving every industry on every continent, but we are serving every function within every one of those companies. And so it's multinational companies out of small businesses, it's educational institutions to nonprofits. It's everything from sales and success and HR to product and everywhere in between. On the insight solutions, some of the market research and CX products, we're offering and we're seeing particular success in Finserve, in CPG, In IT Tech, Pri articulate how. What we've really done is expand up market to purpose built solutions where there are buyers with budgets and big problems, and that's where our products really sink [ph].
Priyanka Carr: Yes. I'm elaborating on that point. The way I think about it is less industry and more about those use cases where people are trying to solve particular problems. And these problems span industries, which gives us access to a huge load lot of time. So these are problems like I want to learn about my customer and what they think about my product. I want to build great solutions for the market. I want to build a brand that's really compelling. And those are the top use cases that we are seeing in our up market solutions in pretty much every industry. And if I have to say the strong concentration in industries is just as Zander laid out, but our focus is more on the use case and personas and the problems we're solving.
Zander Lurie: I love seeing companies like one football, which started with a single survey product, scaled dramatically became a SurveyMonkey enterprise customer, looking at everything from their customer service experience to product improvements, pricing, just raise $300 million to expand their growth. So seeing really strong growth companies with a terrific product, using our products to understand how to deliver better experience to their stakeholders is rewarding.
Unidentified Analyst: Got it. And then just one more kind of staying on the product topic. Market research is on fire, as you said, and you're now testing out a subscription model for it. Can you just talk more about what that may mean for the future of the product and bundling and how maybe we can expect that same type of model moving away from consumption?
Justin Coulombe: Thanks for the question. Yes, absolutely. So the nice thing about this is, we've now been at scale with a number of solutions in the market research space for a number of years now. What we've been moving the product towards or what we call more longitudinal use cases. So areas where we want to track the market over a period of time, for instance, brand tracker, you want to do that over a series of months, quarters, years, and continue to have more like a subscription framework. What we've also seen is that the way the market is moving is also more towards subscriptions. So we are updating and testing our packaging, as we go into this quarter. And the way that we're thinking about it from a model perspective, we will very likely push for the subscription as we go into the end of this year in the beginning of next year. We'll get a slight revenue headwind from that, but it's not significant just given the size of the market research business as a proportion of our total revenue. And then, we'll be in a much better spot as we think about customers coming back and being on a subscription revenue model at that point.
Unidentified Analyst: Awesome. Thanks.
Operator: Thank you, Parker. This concludes today's Q&A session. I will now pass the conference back over to Zander Laurie for closing remarks.
Zander Lurie: Thank you all for joining us today. I want to commend our employee base for their focused execution on the strategic plan after many months of distraction. As Justin said, that level of focus and rigor on the model will deliver a reacceleration in revenue late this year and expanding margins, which is a real competitive advantage for this company. We have built a terrific set of products and brands and execution will pay it off. I think the company has a collective chip on the shoulder to get back to what the success we know we can deliver and that's what we're here to do. So we'll update you in future quarterly calls and look forward to your questions and thank you for your support. Have a great night.
Operator: That concludes today's Momentive Global Incorporated Quarter One 2022 earnings call. Thank you for your participation You may now disconnect your line.